Operator: Greetings, and welcome to the MYOS RENS Technology Third Quarter 2019 Financial Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Matthew Abenante, Investor Relations of MYOS RENS Technology. Thank you, sir. You may begin.
Matthew Abenante: Thank you, Jesse, and thanks to all of you for joining us today, and welcome to the MYOS RENS Technology third quarter 2019 results conference call. Joining us on the call today is Joseph Mannello, Chief Executive Officer; and Joseph DiPietro, Financial Controller. I would like to remind our listeners that any statements on this call that are not historical facts are Forward-Looking Statements. Actual results may differ materially from those projected or implied in any forward-looking statements. Such statements involve risks and uncertainties including but not limited to those relating to product and customer demand; market acceptance of our products; the ability to create new products through research and development; the successful results of strategic initiatives; the successful launch of our products, including Qurr, Yolked and MYOS Enteral Nutrition Formula and MYOS Canine Muscle Formula product, the success of our research and development including the clinical studies, the results of the clinical evaluation of Fortetropin and its effects; the ability to enter into new partnership opportunities and the success of our existing partnerships; the ability to generate revenue and cash flow from sales of our products; the ability to increase the revenue and gross profit margins; the ability to achieve a sustainable profitable business; the effect of economic conditions; the ability to protect our intellectual property rights; competition from other providers and products; the continued listing of our securities on the NASDAQ stock market; risks in product development; our ability to raise capital to fund continuing operations; and other factors discussed from time-to-time in our filings with the Securities and Exchange Commission. We undertake no obligation to update or revise any forward-looking statement for events or circumstances after the date on which such statement is made except as required by law. The statements made on today’s call have not been evaluated by the Food and Drug Administration. Our products are not intended to diagnose, treat, cure or prevent any disease. With that, I would like to turn the call over to our first speaker, Joseph DiPietro, to go over the financial results. Good morning, Joe.
Joseph DiPietro: Good morning everyone, how are you. For the third quarter of 2019, our net revenues increased to 284 or 430% to 350 compared to that revenue 66 for three-months ended September 30, 2018. This substantial increase was primarily due to an increase in net revenues 240 for our two new products launched in 2018. A 108 Yolked and 132 for Canine Muscle Formula. Gross profit for the three-months ended September 30, 2019, increased 169 or 2,414% to 176, compared to seven for the three-months ended September 30, 2018. Our operating expenses for the three-months September 30, 2019, increased 171 or 18% to 1,087, compared to 916 for the three months ended September 30, 2018. This increase was primarily due to the marketing of our Company’s new products in the high-end of the in-house sales team that began approximately a year ago. Net loss increased 10 or 1% in 921 to the three-months ended September 30, 2018 compared to 911 for the three-months ended September 30, 2018. As of September 30, 2019, we had cash 396, total assets of 3,573 compared to cash of 459 and total asset of 4028 at September 30, 2018. As stated earlier this increase in cash is primarily is due to the marketing of our customer and products. Working capital increased 154 to 115 on September 30, 2019 compared to 1,269 and December 31, 2018. Our changes in working capital were primarily due to net proceeds provided by financing activities of 2,285 offset by an net cash used in operating activities of 1,904. Also other current assets decreased due to collection of 1,124 tax receivable. Our total current liability decreased by 586 primarily due to decrease in accounts payable. accrued expenses and other liabilities were 431 and the conversion of 250 of the promissory note payable offset by accrued interest of 29. An increase in deferred revenue of 20 and an increase of 46 for operating results. With that I now like to turn to call the over to someone and we will have the pleasure of working last three year our Chief Executive Officer, Joseph Mannello.
Joseph Mannello: Thank you, Joe. And good morning everyone. I want to thank you for being on the call today. First, I want to thanks MYOS team, we have added some great talent recently to go along with the talent we have and that has made an incredible difference. I met a very successful venture capital investor this week, who spoke about the most important components when he is looking to make an investment. He said, the number one thing he looks at is people, do they have great people and number two, was a great product. This year we proved we have incredible and I mean incredible products with two positive trials and amazing testimonials. Please read our reviews on the testimonials on Amazon or yolked.com or myospet.com. More importantly look at our science and the quote from Dr. Evans who did our Berkley study, what he said about Fortetropin. It is rare for a new nutrition product to show such a consistent and positive effect. Get used to that line, because I’m going to use it a lot. We also added this talent recently and I will continue to evaluate the talent we have and look to add more talent as we go forward. It has taken me sometime to figure out this business, I think I’m getting closer to putting together the right team as well as a getting better understanding of this space that MYOS RENS is in. After today’s call, I’m going to be heading to the Javits Center to present at the New York Vet Show at their Innovation Showcase, where I will deliver remarks on the impact of Fortetropin on dogs recovering TPLO surgery and our new MYO’s Vet Strength formula. We hope to have a great turnout with veterinarian scientists and other key industry people. This event has provided veterinary healthcare professional the opportunity to get better educated on products offered throughout the industry and I’m excited to be presenting our successful studies as well as one of the only products that is effective and clearly as effective for muscle health in dogs. To sum up not only the third quarter, but thus far in 2019. I’m very pleased with where we are positioned today. The process of launching brands and having them rapidly accepted the marketplace is challenging to say the least. It can be an expensive proposition. If you don’t have a plan, and if you don’t have the ability to call that occasional audible when the market requires it. In a little over a year’s time, we have made investments in manpower and capital to launch two new brands, MYOS Canine Muscle Formula and Yolked that are backed by clinical research data proven to support muscle health. Since the launch of MYOS Canine at the end of June in 2018, we have seen double-digit growth in sales, which continues in the third quarter of 2019, a 48% increase from the second quarter. While I’m pleased that MYOS Canine continues to grow at a rapid pace, I’m more optimistic about the upside potential. Remember, the global veterinarians supplement market is massive. It is expected to reach over eight billion by 2023 with a compound annual growth rate over 6%. We are finding that when we approach new customers, they love the product, they see the difference overtime in their dog’s activity movement and muscle mass and they become repeat customers. There is nothing in the marketplace like MYOS Canine. I would again invite you to take a look at the customer testimonials we receive on our Amazon page, and as well as all our social media channels. All of these channels have proven to be major catalyst for sales for our MYOS Canine brand, and I look forward to what I anticipate being our biggest marketing push as we approach the holiday season. So what does this tell us? First, the product works. Second, the product works. Works so well, that people are willing to write compelling reviews and testimonials. Literally, if you look at these reviews, it is just tremendous and I promise you less than 30% are family members. These are our best salesforce in the direct-to-consumer space and now we need to reach this audience at a wider scale. So we are shifting more of our marketing spend the MYOS Canine, the marketing dollars we spend with MYOS Canine really generates sales and we want to capitalize on that. We have also received great feedback from veterinary practices and distributors in the vet space that supply MYOS Canine for its customers. After hearing that feedback, we decided to offer a more specialized product that would be available exclusively through vet practices, as opposed to Amazon, other retailers or other e-commerce options. So we announced on Tuesday the launch of veterinarian strength MYOS Canine Muscle Formula. This formula combines Fortetropin with the branch chain amino acids leucine, isoleucine and valine further boosting the beneficial effects of muscle protein synthesis, resulting in a greater improvement of muscle health in Canines. Providing this additional skew comes to the minimal cost to MYOS, while providing us further entry into the commercial veterinary market. Turning to Yolked, our all-natural NSF Certified for sport nutrition market. We made progress in the quarter with sales doubling. This is largely a result of the marketing investments we made, particularly in our direct-to-consumer vertical, which includes yolk.com, Amazon and our social channels, along with what I define as our Yolked Pro vertical, which includes over eight University Athletic Departments. However, our results in this vertical have been less than I hoped with the focus and marketing dollars we put behind it. We have really seen great responses to the products in the University Athletic Departments, and that with professional team is what I believe a very good fit for Yolked. However, in the direct-to-consumer space, we believe we need to capitalize on the powerful results from our University of California Berkeley study and aim for that 40 and over demographic. With that in mind, we announced last week a marketing partnership with the Texas Golf Association, the largest statewide amateur Golf Association in the United States, with over 147,000 active members. Throughout the partnership, we will present instructional videos through the fall and winter months, introducing members to Yolked and demonstrating its benefits. The golf market is a very attractive potential market for Yolked. This market is competitive and athletic, skews over four years old. Its athletes lit and well educated. As we continue to actively market our brands, we believe the foundation for long-term success of our products is driven by our ability to use the powerful research results. We have to fully leverage Fortetropin’s benefits. We were delighted to announce in June our positive top-line results from our randomized double blind placebo controlled study that we conducted at the University of California Berkeley, and the University of Arkansas for Medical Sciences, where we evaluated the impact of Fortetropin under rate of muscle protein synthesis in older men and women between the ages of 60 and 75 years of age. This study show that Fortetropin significantly increase the rate of muscle protein relative to placebo in 21 days. I want to again repeat Dr. Evans’ quote about for Fortetropin “it is rare for a nutrition product to show such a consistent and positive effect.” We also launched a clinical study in September with the Department of Kinesiology at McMaster University in Hamilton, Canada. This study will examine the impact of Fortetropin on reducing Muscle Disuse Atrophy and young men, which commonly occurs in response to a mobilization, such as the atrophy of thy muscles following a period of casting for a fracture or following surgery, such as knee replacement. With this study, we hope to show that Fortetropin can shorten recovery times from injury as were shown in our TPLO surgery study with dogs. Success with this study will provide MYOS with a large commercial opportunity for a product in the rehab and recovery market. I understand that in the micro cap stock world investors are always concerned with shareholder destructive capital raises that often fall short of meeting the objectives of the company. MYOS stands among the very few in the fact that we don’t operate this way, when we have raised capital it has been traditionally based upon market appreciation. Our aftermarket facilities which HCE wing rate allows us to take advantage of price fluctuations, reducing our cost of capital compared with most capital raises in small caps. In addition, both myself and the Board participate in capital raises, free of taxes, warrants and options and we hope to maintain that discipline. Our interest are fully aligned with the shareholders, because we believe this is a great long-term investment and management should always skin in the game. We have gotten to this point in our Company with steady growth as a result of our approach of building scientific case for Fortetropin. How many companies can point to two successful studies in one year, all that while developing vibrant brands and marketing programs together our products into the marketplace. As a result show, we have made a lot of progress in a relative short period of time, by now we are only in the early stages of this process and I expect only greater results from here. I covered a lot of territory this morning, it is an exciting time for our Company, things had never looked better. And we want to thank our loyal shareholders for their continued support. And with that I’m happy to take questions.
Operator: Thank you [Operator Instructions] Thank you. Our first question comes from Brian Marckx with Zacks Investment Research. Please proceed with your question.
Brian Marckx: Hi. Good morning guys and congrats on all the progress. Joe, I have several questions and maybe it might be best to take some of these offline, just because of questions we have got a lot going on. So, it just generates lot of questions. So, in terms of the MYOS Canine, Veterinary Strength. I’m curious is there evidence specifically behind this formula that supports the benefits as the original formula?
Joseph Mannello: Yes. Look at this way, Brian, it is 90% plus Fortetropin, so you are going to benefits of Fortetropin and then we add an amount of small amount of Branched-chain amino acids, which also have tremendous clinical evidence of building muscle. So, it is made to really create a product exclusively for vets. Like I said, it is a negligible amount of branched chain amino acids. It gives them something different. So they can have it in their practices and be able to sell it there. So is there going to be a lot more muscle benefit from this than pure Fortetropin, probably not a huge amount, but there will be a little amount.
Brian Marckx: Okay. And then in terms of where that is relative to the launch. I know you officially announced the launch. But is this in your veterinary distributors’ catalogs and is it being stocked or is it being sold kind of where exactly is the product in terms of commercialized?
Joseph Mannello: It was just launched. We wanted to really showcase it today at the New York Vet Show and then start rolling it out. We did get calls in the press release from a one or two vets that want the product. But the idea was to launch this in conjunction with today’s New York Vet Show.
Brian Marckx: Okay. And then would your veterinary distributors stock this along with the original formula or just the vet formula and if it is just the vet formula and they have inventory product of the original formula, what do they do with it, do they sell-through it or do they return it or something else?
Joseph Mannello: Just no, we only have one vet distributor we are working with and that is Miller Vet. They will take this product in. They will sell through the MYOS Canine Muscle Formula they have and they are not a large vet distributor. Most of our vets that we have so far has been done internally through our salesforce, which are roughly probably 50 vets. And they overtime will take the vet strength or they can stay with MYOS Canine that is up to them. The idea is, think about it, if there is an argument and it is less today than it was 10-years ago, that why should I take in this product, when you can go buy it on Amazon. You can go buy it on Chewy. You can go buy it in other places. What we are saying here is we are going to give you something exclusive. You can have this. So it gets rid of that objection. And the addition of branched chain amino acids is very positive. I could tell you there are numerous studies that show the benefit. So it is a good approach to a product with benefits as well as a good marketing tool, I believe. So I think it is going to be accepted form - we have lots of vets that love MYOS Canine. I think this will address two things. One, probably give them a little bit more pricing power and two, the vets that were resistance because they don’t want to compete with e-commerce. They can now accept this.
Brian Marckx: Yes, that all make sense, thanks Joe absolutely. And so you talked about the positive reviews with MYOS Canine. I have seen them, I read probably just about all of them. It is pretty impressive. I’m curious as to how the kind of a general pet consumer - how they are influenced by the science behind MYOS K9 versus the say like an online review. Do you have a sense of that, does the clinical science resonate with the general pet consumer or is it more I go on Amazon, I read these reviews and that is what influences a purchase.
Joseph Mannello: I don’t know if there is one answer to that. I think some people look at reviews and that holds a lot of weight for them. I know as being I buy a fair amount of products from Amazon, I do look at reviews and that does influence me. I look at the quality of the reviews sometimes. Who is saying what. Some negative reviews sometimes can be absurd and some may not be. So I do look at those reviews. And then there are other people who is dull about the science. We have vets that we get into, they care about the science and then they start seeing the results. So I think it is twofold. I know that somewhat wishy-washy but I do believe that is the fact that depends on who you are. But I think these reviews are really having an effect. Word of mouth is very powerful, especially with social media today. And we, as I said, in my statements are really going to push in this next quarter around the holidays with MYOS K9, because it is just a strong brand for us.
Brian Marckx: Okay. Relative to - I will cruise some of these as quick as I can. The Kansas State Quality of life K9 study the 10-Q mentioned that you anticipate the conclusion in Q1 of next year. Can you give us what the specific status is today? Has the K9 study quality of life started?
Joseph Mannello: Yes, it is probably about 50%. We probably have a little over 50% subjects in the study. And again, we do believe in first quarter, we should see the results. As you know, Brian, these studies - dogs dropped drop out, people move, but we are still anticipating and feel fairly confident that we will have the results in the first quarter.
Brian Marckx: Okay, okay, great. And on to Yolked the McMaster study, do you have anticipated timelines for when that might start and when that might finish and then more of a design type question relative to that study, it seems like it is a pretty small study, 24 participants I believe and mobilization period is only two weeks. Is that I guess robust enough where you would expect to see statistical significance in the primary endpoint?
Joseph Mannello: One we expect it to launch in the first quarter for them to start. We have begun all the processes that we need to get it going. And as far as it is in something called IRB review right now. And yes this study and we have designed this in conjunction with Dr. Steward Philips, he has done these types of studies before. This is something he does. So, he knows that this timing, I would love to get a study done in six months or three-months, this is a two year study. And he created the protocol working with us, on his experience that this timeframe will show significance if the product works. If you can read, he has tremendous amount of studies that he is authored or co-authored in this space. So, we are really confident we wouldn’t do this unless we felt - to give an example, we were looking and got very close to doing a study with total knee and hip replacement surgery, we were down the path in a long way, but we have realized that we brought in some people to advice us and they said one of the problems with total hip and knee replacement is the outcome, there is not any normal outcome, people can go into study earlier, later, their muscle is at different point. So, we were advised that that protocol is not great, and here is a way to really understand whether product works or not and this is why we set up the study this way, this is way we work with Dr. Philips because he has had a lot of experience doing this and it is setup in way that if Fortetropin works and we believe and hope it will, will show significance or else we wouldn’t have gotten down this path. The reason we left those other paths was because we were advised that even if Fortetropin works it might not show significance. Does that make sense?
Brian Marckx: Yes. Absolutely. That is yes, that is great. And just one last question here. Joe, you have mentioned or I guess you mentioned that you expected to move some sales and marketing dollars towards MYOS Canine. Are those coming from somewhere else and I will just leave it there. I appreciate it.
Joseph Mannello: It is really a directional decision, sliding the winning horse. Basically MYOS Canine, when we spend a dollar on MYOS Canine, we get a real return. So, we believe shifting some of the dollars that we are using to MYOS Canine is prudent and it just works. Yolked in the demographic we were targeting is a tougher sale. You know that there are lot of products that 18-year old and 25-year olds take and talk about muscle building. And so the investment which we have made and we are getting there is much greater. We decided that with the success of MYOS Canine it is prudent to move some of those dollars there. And we think we will see great results, or we wouldn’t be doing it and move some of those dollars away from Yolked.
Brian Marckx: Okay, yep, it makes sense. Thanks Joe. I appreciate it.
Joseph Mannello: Thank you, Brian. Brian, if you want to talk some more, if there are more questions, just give me a call.
Brian Marckx: Okay. Yes. Very much appreciate it.
Joseph Mannello: And thank you for your support.
Operator: Thank you. [Operator Instructions] It appears we have no additional questions at this time. So I would like to pass the floor back over to Mr. Mannello for additional concluding comments.
Joseph Mannello: Great, thank you so much. I want to thank everyone who supports MYOS. I think the journey has been long over the last three-years since I have been there and I’m committed to seeing this out. I really do believe with what has happened this year with MYOS with our two clinical studies being positive, as well as the momentum we are seeing in both Yolked and MYOS Canine that we have turned. There has been an inflection point or transformation of this Company. And I’m really looking forward to the next year. So again, thank you. I want to wish everyone a Happy Thanksgiving a little early and that is it. Have a great day. Great weekend.
Operator: Ladies and gentlemen, this does conclude today’s teleconference and webcast. We thank you for your participation. You may disconnect your lines at this time.